Operator: Good day, and thank you for standing by. Welcome to the fourth quarter 2025 Enterprise Products Partners L.P. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Libby Strait, Vice President of Investor Relations. Please go ahead.
Libby Strait: Good morning, and welcome to the Enterprise Products Partners conference call to discuss fourth quarter 2025 earnings. Our speakers today will be Co-Chief Executive Officers of Enterprise's General Partner, Jim Teague and Randy Fowler. Other members of our senior management team are also in attendance for the call today. During this call, we will make forward-looking statements within the meaning of 21E of the Securities Exchange Act of 1934, based on the beliefs of the company as well as assumptions made by and information currently available to Enterprise's management team. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct. Please refer to our latest filings with the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. With that, I'll turn it over to Jim.
Jim Teague: Thank you, Libby. The headline for the fourth quarter is a record $2.7 billion of EBITDA, surpassing the previous record at $2.6 billion set in 2024. We brought on a number of assets in 2025, like 14 in mid-October, Mendon West in Orion mid-year, several gathering and treating projects in the Permian, and Neches River terminal ethane export train mid-year. Mid-year startup of diluent exports to Canada and finally, the NGL pipeline in December. All these assets performed well, but they also filled holes created by decline in our commodity-sensitive businesses and marketing spreads. Market reality shaped the year. Crude oil prices averaged about $12 a barrel lower than in 2024. That reduced many of the price spreads we benefited from over the prior three years. Our paying margins were weaker in 2025. A large ten-year LPG export contract originally signed at double-digit fees, which we contracted at market rates. RGP, PGP spreads were 14¢ a pound in 2024, but only 3¢ a pound in 2025, which is an extension of a reflection of the weakness in the housing market. During 2025, we renegotiated our RTP purchase agreements to a fixed fee structure, which makes our splitter business largely spread agnostic. Spreaders are now essentially inert. We are fully contracted on our ethane export terminals and all 20 processing trains that we will have online in the Permian by year-end. For ethane exports, typically ships must be built and receiving terminals constructed to ultimately ramp the full unit utilization. In our docks, with that being said, however, the ships seem to be coming earlier than the receiving. For processing, while production growth goes over time, the two trains we brought on in mid-year 2025 are virtually full today. Our LPG exports are highly contracted through the end of the decade, and we continue to see strong interest for additional long-term commitments. We expect modest growth in 2026 as these assets and the assets we are bringing on in 2026 continue to ramp. We expect to see double-digit growth in 2027 once these assets reach full utilization. Naysayers doubted by him in the beginning, but that is to be expected on your first. But here in Shin Oak is an integrated system has 1.2 million barrels to capacity, and are running at 80%. And the next sign is a UJI partner. And agreeing to expand Bahia to 1 million barrels per day, it's a win for both Enterprise and Exxon. Associated with the UJI are a dozen downstream agreements. On the export front, Enterprise continues to expand its NGL export franchise. In 2025, we loaded between 350 and 360 million barrels across 744 ships. That will only grow as we complete phase two of the Neches River terminal, the LPG expansion the Houston Ship Channel. By next year, we expect to be quoting near 1.5 million barrels a day of NGLs, or 550 million on an annual basis. Little history lesson. Been doing international business since 1983. And we built our LPG import tunnel. 1999, we expanded the facility to include export capabilities. Many of our customers have been with us for more than twenty years. They know us. They know how we don't let behave. They like how we operate. They are more than just customers. Relationships like that tend to be very sticky. We look we spend a lot of time with our customers around the world and domestically. For example, over the holidays, I was in Thailand meeting with three large petrochemical companies. Christian Nelly was in Europe in the fourth quarter, and we did feedback in March. On the crude team, Kerry Weaver was in Asia in October, and James Bany will be in Europe later this month. And GL's god bless Tyler Cott, and his travels. Tyler was in Asia in November. With stops in Korea and India, and will be in Europe this month. And then back to Asia in March. Finally, Tug and I will be in Japan next month. To visit several export customers. We're equally focused on our domestic customers, be they producers, petrochemicals, refiners, traders, or wholesale. We deliver roughly 25 million barrels a month ethane to US crackers. That's around 300 million barrels of beer. In total, we move over 14 million barrels per day of oil equivalent to our 50,000-mile pipeline network. Additionally, Enterprise looks at its storage hubs as a critical part of its infrastructure to support its customers. Cushing, Midland, Houston, and Mont Belvieu. These are all open access systems where our customers can trade freely without any concern of being held hostage. We are proud of our record $2.7 billion of EBITDA in the fourth quarter. But as investors look to the future, I would encourage you to look beyond the numbers. Enterprise's long-term success is driven by our culture, our teamwork, our creativity, and our laser focus on customer relationships. Those intangibles would give rise to the numbers you see each quarter.
Randy Fowler: Thank you, Jim. Good morning, everyone. Starting with the income statement items. Net income attributable to common unitholders was $1.6 billion or 75¢ per common unit on a fully diluted basis for 2025. In the fourth quarter, our adjusted cash flow from operations, which is cash flow from operating activities before changes in working capital, grew 5% to $2.4 billion. This strong finish propelled us to a record $8.7 billion in adjusted cash flow from operations for the full year 2025. We declared a distribution of 55¢ per common unit for 2025, which is a 2.8% increase over the distribution declared for 2024. The distribution will be paid on February 13 to common unitholders of record as of the close of business on January 30. Partnership repurchased approximately $50 million of its common units in the fourth quarter bringing total repurchases in 2025 to approximately $300 million. Inclusive of these purchases, the partnership has utilized approximately 29% of its authorized $5 billion buyback program. In addition to buybacks, our distribution reinvestment plan and employee unit purchase plan purchased a combined 4.7 million common units on the open market for $150 million in 2025. This includes 1.2 million common units purchased on the open market for $37 million during 2025. For 2025, Enterprise will have returned $5 billion of capital to our equity investors comprised of approximately $4.47 billion or 94% in distributions to limited partners and $300 million through buybacks resulting in a payout ratio of adjusted cash flow from operations of 58%. Since our 1998 IPO, we have prioritized unitholder value by responsibly returning nearly $2 billion through distributions and buybacks, all while building one of the largest energy infrastructure networks in North America. Total capital investments were $1.3 billion in 2025, which included $1 billion for growth capital projects and $230 million of sustaining capital expenditures. For 2025, organic growth capital investments were $4.4 billion with about $100 million of expenditures slipping into 2026. We also had $620 million of sustaining capital expenditures. With the completion of major projects such as the Bahia natural gas liquid pipeline and the first phase of the Neches River terminal, we continue to believe our organic growth capital expenditures in the near term will return to our mid-cycle range. With that said, our commercial teams have had great success in completing major agreements with producers since our last earnings call. In November, we announced ExxonMobil's acquisition of an undivided joint interest in Bahia natural gas liquid pipeline and the related expansion of Bahia to 1 million barrels a day and a 92-mile extension to connect Exxon's Cowboy Processing Complex as well as Enterprise Plants in the Delaware Basin. In January, we executed agreements to provide a large producer in the Delaware Basin with integrated services including acid gas gathering and treating, natural gas processing, and NGL transportation and fractionation services. These long-term agreements support our building at 24-inch trunk line to extend the partnership's acid gas gathering system Northern Lea County. A fifth treater at our dark horse facility and a third acid gas injection well. In addition, we executed long-term agreements with Haynesville producers to an extension of our Haynesville natural gas gathering system along with downstream agreements to provide natural gas processing, treating, and transportation services on the Acadian system. We have also had success in executing agreements with petrochemical customers that support incremental extensions of our ethane, ethylene, and propylene pipeline systems. As a result of these successes, and visibility to potential projects, we expect growth capital expenditures for 2026 to be in the range of $2.5 billion to $2.9 billion netting to $1.9 billion to $2.3 billion after applying approximately $600 million in proceeds from asset sales already received earlier this year which represents the final installment from Exxon on the Bahia sale. The pace of some of these expenditures will depend on the cadence of producer activity. However, we believe we will be at the higher end of this range. Sustaining capital expenditures are expected to be approximately $580 million in 2026 which includes approximately $80 million for the turnaround of our octane enhancement facility that should be completed later this month. As Jim noted earlier, we expect modest adjusted EBITDA and cash flow growth in 2026, as assets completed in 2025 ramp in volume and as assets that are completed throughout 2026 begin operations. We expect this to ultimately lead to 10% area growth in adjusted EBITDA and cash flow in 2027 compared to 2026. Enterprises adjusted cash flow for 2025 was $3.1 billion and this adjusted free cash flow, that's our cash flow from operations less capital investments and acquisition. Subtracting distributions to limited partners results in 2025 discretionary free cash flow of a negative $1.6 billion. Based on our currently expected lower level of net capital investments, in 2026 which is comprised of capital expenditures plus acquisitions less proceeds from asset sales. In the net increase in distributions, we expect discretionary free cash flow has the potential to be in the $1 billion area in 2026. In terms of allocation of capital, we see cash distributions to partners growing commensurate with operational distributable cash flow per unit growth. In the near term, we expect for our discretionary free cash flow to be split between buybacks and retiring debt. In 2026, we currently expect this split would be approximately 50% to 60% in buybacks. Future growth in cash distributions to partners can also be further enhanced by the percent of common units we retired through buybacks. Our total debt principal outstanding was $34.7 billion as of 12/31/2025. Assuming the final maturity date of our hybrids, weighted average life of our debt portfolio is approximately seventeen years. Our weighted average cost of debt was 4.7% and approximately 98% of our debt was fixed rate. At December 31, our consolidated liquidity was approximately $5.2 billion including availability under our credit facilities and unrestricted cash. Adjusted EBITDA increased 4% to $2.7 billion for the fourth quarter compared to $2.6 billion for 2024. Adjusted EBITDA for 2025 reached a record high just shy of the $10 billion mark. We ended the year with a consolidated leverage ratio of 3.3x on a net basis after adjusting for, adjusting debt for the partial equity content of our hybrid debt and reduced by the partnership's unrestricted cash on hand. Our current leverage ratio reflects significant investment in large-scale projects that we recently brought into service in the midstream asset acquisition from Occidental where the debt is on the balance sheet, but the resultant annual adjusted EBITDA generation from these investments is yet to flow into our trailing twelve-month EBITDA figures. Our leverage target remains three times plus or minus a quarter turn or 2.75 times to 3.25 times. We believe our leverage will return to within our target range by 2026 when we have a full year of adjusted EBITDA from some of these projects. With that, Libby, we can open it up for questions.
Libby Strait: Thank you, Randy. Operator, we are ready to open the call for questions. One one on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. We ask that you please limit yourselves to one question and one follow-up question. Our first question comes from the line of Spiro Dounis from Citi.
Spiro Dounis: Thanks, operator. Good morning, everybody. Wanted to start with the 2026 and 2027 outlook comments. So you exited 2025 really strong. Just wonder if you guys maybe walk us through some of the puts and takes off this fourth quarter exit rate as you think about 2026 growth? Just trying to get a sense of what's ratable here and if you guys see yourself still landing in that 3% to 5% growth range. And on 2027, you mentioned double-digit growth. Just curious how you're thinking about the risk to achieving that level of growth. Maybe another way of asking, what commodity environment underwrites that level?
Jim Teague: I think, Spiro, this is Jim. I think given that in my script I mentioned, we didn't have as many outsized spreads as we had the three previous years. I think this I think fourth quarter's weighted more ratable than not.
Randy Fowler: Hi, Spiro. And just as a follow-up on the second part of your question, I think probably as as we mentioned, we're sort of looking at modest cash flow and EBITDA growth in 2026 compared to 2025. So probably at the lower end of that 3% to 5% range.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of Theresa Chen from Barclays.
Theresa Chen: Good morning. Under comments related to the NGL export cadence, specifically on the phases of Neches River ramping up over time. Can you expand on the cadence and ramp up of earnings contribution from these expansions, how should we think about the ramp in steady state contribution as we move through 2026 and into 2027?
Tyler Cott: Hey. Hey, Theresa. This is Tyler Cott. I'll speak to the volume, which should correlate to the earnings. So Neches River came online last year. As you know, the fourth quarter, we started to ramp volumes of ethane in earnest. That ramp will continue into the first several months of this year. I would say by the second quarter, our overall ethane export should be very near full utilization. At which time our second train in Neches River will come online. And that will have a ramp up profile over the next several months largely propane at first, but then shifting to mostly ethane. By around the end of next year.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of Michael Blum from Wells Fargo.
Michael Blum: Thanks. Good morning, everyone. Wanted to ask, as you know, Waha price have been pretty volatile the last few months. You know, fourth quarter, price is really low, spreads were wide, then, of course, in win in January, we've had this winter storm. So Waha prices spike. So I wonder if you could just remind us how EPP is impacted by changes in Waha prices in in both directions.
Todd Hanley: Yeah. This is Todd speaking. So as far as a low Waha price, we have gas transport capacity. So we benefit from a higher we call it west east or west to west to south spreads. We'll be able to monetize that and with respect to recent volatility on a higher gas price, we do have storage assets that can monetize that as well. So we benefit from volatility on both sides.
Michael Blum: Great. Thanks for that. And then I'm wondering if you can just give us a little color on what you're producer customers are telling you in terms of their plans for 2026. And and how you see that translating into supply growth, especially in the Permian. Thanks.
Natalie Gayden: This is Natalie Gayden. Our on the GNP side, our Midland volumes are outperforming the expectations, tracking pretty closely with last year's volume growth. So just to give you some color, well connects are at a record high this year of 590. And then in the Delaware, same kind of thing. The growth curve is steepening there, and we've got an estimated 500 wells turning to production this year. And and more next year. So we're definitely keeping our running shoes on. Thank you.
Libby Strait: One moment for our next question. Our next question comes from the line of Jean Ann Salisbury from Bank of America.
Jean Ann Salisbury: Hi. Good morning. I don't think you have a ton of exposure to the EMPs announced in the merger yesterday. But just as a more high level, I guess, theoretical question, can you give your thoughts of how much more negotiating power a large EMP would have over midstream contracts versus two small E and Ps And if there is more consolidation, if that if that is kind of a negative for midstream?
Jim Teague: Well, you wanna try it? You want me to. Hi, Jean Ann. This is Jim. Hi, Jim. With the people we have, I don't think it makes a difference. Our folks are pretty good at at seeing value and doing win-win deals. With producers, whether that be large majors or large independents.
Jean Ann Salisbury: Okay. Very clear. And then as a follow-up expect that did you expect any other answer, Jean Ann?
Jim Teague: No. Not really. Not really.
Jean Ann Salisbury: But I I appreciate it. And I I guess as a follow-up, do most of the Midland to ECHO crude pipeline contracts roll off in 2028 to 2029? I know that there have been some discussion of of blending and extending, so not sure if that should kinda be later at this point.
Jay Bainey: Jean Ann, this is Jay Bainey. So for '28, we have our first contracts roll off. But over the really, the course of last year and the year prior, you know, we have done, not only new contracts fill that space, but blend and extend. So it's roughly about 20% see roll off in '28, but we'll be working on that this year or next.
Jean Ann Salisbury: Great. Thank you.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of Jeremy Tonet from JPMorgan Securities LLC.
Jeremy Tonet: Hi. Good morning. Good morning. Appreciate the color on the 10%, EBITDA step up '25 into '27 there. Just want to dive in a little bit more with regards to buybacks and the pace thereof. Is there any kind of formula that you think about or other methodology when when you think about the buybacks I think I recall if there's a billion of free cash flow, it might be 50-60% deployed towards buybacks. And so just kinda trying to figure out how that might, you know, work out over the course of the year.
Randy Fowler: Yeah. Jeremy, know, when the prepared remarks, I'd pretty much you know, based on where we currently are, when we see 2026, with with free cash flow in the neighborhood of $1 billion. We really see that split where 55% to 60% of the buyback would be 50 to 60% 55 to 60% of the cash flow. Would be allocated towards the buybacks. And that would really be a you know, it would be some level of opportunistic and some level of programmatic purchases. Is the way we're currently thinking about it.
Jeremy Tonet: Got it. Thank you for that. And maybe if we could just pick up on the freeze offs one more time. I wouldn't expect it to be the same type of uplift as Yuri as we saw in the past, but could we see the potential for sizable uplift as as you know, optimization opportunities might have been greater than what you typically see?
Tug Hanley: Yeah. This is Tug. You know, I'll just say we saw production fall off similar to prior winter events. We're able to more than make it up by optimizing our system. But Yuri was a I would say, an exception to every winter storm, so I would not be expecting that.
Jeremy Tonet: Got it. Thank you for that.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of John Mackay from Goldman Sachs.
John Mackay: Hey, team. Thank you for the time. Jim, you spent a while talking through your kind of international customer base on the NGL side. Can you share a little bit more color for us on what you're hearing in terms of demand trends? And maybe how that compares to to this time last year?
Tyler Cott: Hey, John. This is Tyler Cott. I would say overall, obviously, there's been a a lot of noise in the last several months in the international and export markets, but demand has proven to be pretty resilient. US LPG is finding its way into new markets. India Southeast Asia. Other places in Asia. So, demand has been pretty healthy, and and maybe the ultimate barometer for us is we still have a lot of interest our export capacity long term, both LPG and ethane.
John Mackay: Got it. Thanks. And maybe just following up quickly, maybe just to clarify what Spiro asked. It sounds like some of the ramp on the new projects that came into service last year and this year is gonna pick more in in '27, I guess. But can you just walk us through, I guess, any incremental tailwind sorry, headwinds you're expecting for '26 versus '25 that might offset some of that some of that ramp?
Jim Teague: Yes. Is that gonna let me take the first shot at it. Zach. Right. Right. 14 is full. Two processing plants are virtually full. With the ethane terminal y'all talked about would be full the end of the year. And LPG school, isn't it? The expansion, you're well on your way. Contracting that that time. That comes on the fourth quarter.
John Mackay: Yes.
Jim Teague: Did I answer it, Jose?
Tyler Cott: I think you did. I don't headwinds. I don't don't commodity environment's not I'll just say, as I tell you, on the LPG contract, well on our way, we're you know, 85 to 90% contracted on that. Even on the expansion? Even on the expansion.
John Mackay: Good.
Jim Teague: That thing, we're fully Headlands are I don't know. $40 crude's a headwind.
Randy Fowler: You you you know, the one the one other I guess, commodity sensitive business that we have is our octane enhancement business, but that's only 20,000 barrels a day. It seems like the you know, there was a big change from '24 to 2025 But, really, from '25 to '26, you don't see nearly that magnitude of of of change. So I I wouldn't look for too much of a headwind there.
Jim Teague: No. I don't think there is at all.
John Mackay: Alright, Tim. Appreciate the color. Thank you.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of Manav Gupta from UBS.
Manav Gupta: Good morning. First, congrats on the beat and a strong quarter. Second, we look at your partnership with Exxon in in a very optimistic way, two giants coming together. And I'm trying to understand, are there more opportunities to collaborate with Exxon? They're obviously looking to get big into power generation with the carbon capture and sequestration. And you have the infrastructure to move carbon dioxide So can you talk a little bit more about your partnership with Exxon and and can it grow over time, and what are the opportunities over there? Thank you.
Jim Teague: Yeah. We touch Exxon. In so many places. I can't count it. And we will continue to try to do more deals with Exxon. We like them. I don't think carbon capture will be in the portfolio.
Manav Gupta: Thank you.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of Jason Gabelman from TD Cowen.
Jason Gabelman: Yes. Hey, good morning. Thanks for taking my questions. I I noticed in the press release, you there was mention of sour gas treating capacity expansion and then, potential opportunity to expand activity on, the, acquisition from Oxy. And the question is really, does that kind of support you filling up your y grade pipelines out of the Permian Basin, to get over the 60% utilization on Avaya pipeline, or does that present upside to that number?
Jim Teague: First of all, we said we were at 80% utilization. So we're pretty pretty close to getting to the 600 as we speak or the 1.2 million as we speak. Natalie, you wanna speak to the other?
Natalie Gayden: I would just say that our GMP footprint is a stronghold on feeding the downstream pipeline. So any gas that we go win or packages of gas that we bring through the gathering and processing system, are good for that. So, yes, an expansion of pinion and and Oxyrock volumes eventually coming a big way in 2027 to us is good for the NGL portfolio.
Jason Gabelman: Got it. And and sorry for misspeaking on that number. My my follow-up, if I could ask another is just on the opportunity on the propane side on your product pipelines. In the first quarter of the year given given the cold weather in the Northeast? Can you just talk about what you're seeing in that system moving, propane up the product pipelines? Thanks.
Tyler Cott: Yeah. Jason, I'd say all of our our propane pipelines saw really strong demand ramping towards the end of the year, and January has been as strong potent as strong as January 2025, if not stronger?
Jason Gabelman: Alright. Thanks.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of Ajay O'Donnell from Tudor, Pickering, Holt and Company.
Ajay O'Donnell: Thanks for the time, everyone. I wanted to start on the natural gas segment. Looks like Q4 results saw a decent benefit from gas marketing there. I wanted to know, if you could talk about your intentions on how to manage that marketing space going forward. Particularly in the back half of the year and into 2027. As we start to see diffs around Waha narrow significantly.
Tug Hanley: Yeah. This is Tug. With respect to that space, we do have an open position on our on our natural gas capacity. As far as managing space long term, if there's an opportunity to bundle the GMP deal, provide an integrated solution for one of our customers, we'll evaluate that and contract that at long term. And in the short term, we'll monetize that. With any short term opportunity or volatility. And I'll pass it to Natalie.
Natalie Gayden: I don't have too much to add. Other than remember, our Midland contracts are are basically pop with few floors. So as that gas price strengthens, it's which has been kinda supported, I guess, you'll see the four Bcf or four and a Bcf that's coming online in this year. And a stronger Waha basis will get the benefit of that too. We've we've have as Ted mentioned, anytime we try to pair the rest of the position that we sorry. The capacity that we can sell, it's always paired with GMP.
Ajay O'Donnell: Okay. Thanks for the color. One more. If I can sneak it in, just a clarifying question on this Haynesville Acadian expansion. Curious if you could just provide some more detail behind the project, like anything about the size. Also curious, like, you know, what type of customer is really driving that expansion? Are are these coming from public or or private producers? Thanks.
Natalie Gayden: Hey. This is Natalie Gayden. That's an expansion of the gathering system. So increasing treating and and our reach I guess, could say, it's a mix of privates and publics.
Ajay O'Donnell: K. Thank you.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of Julien Dumoulin Smith from Jefferies.
Julien Dumoulin Smith: Hey, good morning team. Thank you guys very much. I appreciate it. Nice to be on here. Maybe to follow-up a little bit on the 2027 conversation just to talk to the texture of the 2027 CapEx guidance. You you had a few projects announcements this morning. Can you speak to how much of that initial f 'twenty seven CapEx is spoken for? Would new incremental project announcements represent incremental CapEx on that FY 27 range of two to two and a half? By chance?
Randy Fowler: Yeah. This is Randy. You know, the the range that we threw out up to $2.9 billion, those are some that includes some projects that we've got eyesight on that we've not FID ed. And not announced. So I think we've got some leeway to fill up that $2.9 billion. But, again, as you heard on the call with some of the growth that we were seeing we're expecting to be at the top end of that range. For 2026. And for 2027, I think we're still in that range of 2 to 2.5. Right. Exactly. Excellent. And and and just clarifying '27 real quickly in terms of the EBITDA guidance itself, you're saying you expect double digit growth here, '26 versus '27, just to clarify here.
Randy Fowler: Yeah. And and and just what are the if go for it. Yeah. Thank you for that. Yeah. The clarification is our current expectation is that we would see EBITDA growth in the neighborhood of 10/2027 over 2026. And again, from 2025 to 2026, really just modest growth. And probably one other thing I would clarify from an earlier question was Spiro. I think what Jim said, a lot of that there's a lot of ratability in our our fourth quarter, earnings just from a business standpoint. But I will remind you, fourth quarter and first quarter are seasonally stronger businesses. So don't straight line this.
Julien Dumoulin Smith: Right. Absolutely. And then just just speaking of expansions, under here real quickly with the UJI with Exxon, can you talk a little bit about the opportunities there, especially if you think about volumes ultimately landing in the month? 27 CapEx or onwards.
Justin Kleiderer: Yeah. This is Justin Kleiderer. Yeah. So we're off on the expansion. As backed by by Exxon. It is a UJI, so Exxon has rights to make connections on the origin. It front as they see fit as as Jim also alluded to, we we executed 12 downstream agreements that speaks to the overall breadth of our relationship, with Exxon. So it was a good transaction for Bahia and I think it brings Axon Enterprise closer together. We'll see where it goes from there.
Julien Dumoulin Smith: Alright. Fair enough, guys. Best of luck. Talk soon.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of Keith Stanley from Wolfe Research.
Keith Stanley: Hi, good morning and wanna revisit the, the 2027 commentary as well if I can, Randy. 10% growth would be over a billion dollars of EBITDA growth in just one year. I I was looking back. That'd be the fastest organic growth for the company, really, this decade. It sounds like a lot of that is from the LPG expansion and Neches River. But is there anything else you would highlight that's that's big and chunky, particularly in '27 And then separately, I just wanna make sure, Bahia, as it's a UJI, that's treated on a net basis. Right? So that's not consolidated in your EBITDA or anything like that.
Randy Fowler: I'll tell you what. Why don't we handle your last question first? Daniel, you wanna take that? The boss. Yes. The UJI will be proportionately consolidated. So we will only report our our share of that. Investment.
Keith Stanley: Got it.
Randy Fowler: Yeah. And then Keith, back on your earlier question, really, I would say across the board, I mean, if you start with our NGL segment, you'll have a you know, we we've got another plant that will be coming up processing plant that will be coming up in the Delaware any first later in the first quarter, so you'll get a full year of benefit there. There's another processing plant that we're looking to bring on in the Midland Basin. At the end of this year that you would get a full year benefit from in 2027, with the OxyRock acquisition, that we made, you'll see, more benefit from it in 2027. And then, really, then all the if you think about then all the downstream that comes with that, and I and I'll and I'll go back. Trigger four. You would get a full benefit full year benefit of trigger four. Trigger five, you will come in and get benefit from there as well as the incremental expansions on the acid gas. And then just think about all of that flowing downstream through Bahia pipeline into the fractionators. And then into the distribution system and across the marine terminal.
Tug Hanley: Yeah. This is something I want to add as well. We have a lot of higher fees kicking on our Acadian Haynesville system as well.
Keith Stanley: That's helpful color. Thanks for that. Had a quick follow-up on the NGL marketing. So very strong quarter in Q4. You almost matched a year ago when you had those very wide export ARBs. What types of activities are driving strong NGL marketing in Q4, and and what are your expectations for '26? Do you see that as as an area of upside?
Tug Hanley: We a we a lot this is Tug. We had a lot of storage opportunities. We had high utilization on our ethane export assets. You know, just it would be just a mixed bag of standard opportunities that present themselves, we always capture.
Keith Stanley: K. Thank you.
Libby Strait: Thank you. One moment for our next question. Our next question comes from the line of Brandon Bingham from Scotiabank.
Brandon Bingham: Hi, good morning. Just one quick one here, and it might be a little early, but I'll take a shot either way. Just thinking back to that OxyGathering deal, do you see any potential for more of the same types of deals on the horizon given this recent M and A news in the upstream side? Or do you kind of see inorganic spend as maybe lower price priority now given the expected macro outlook this year?
Jim Teague: This is Jim. I don't see as many girls on the dance floor as there used to be.
Brandon Bingham: Okay.
Libby Strait: Thank you. At this time, I would now like to turn the conference back over to Libby Strait for closing remarks.
Libby Strait: Thank you to our participants for joining us today. That concludes our remarks. Have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.